Operator: Good morning, and welcome to the Regions Financial Corporation's quarterly earnings call. My name is Christopher Spahr, and I will be your operator for today's call. I would like to remind everyone that all participant phone lines have been muted. I will now turn the call over to Dana Nolan to begin.
Dana Nolan: Thank you, Christopher Spahr. Welcome to Regions Financial Corporation's third quarter earnings call. John Turner and David Turner will provide high-level commentary regarding our results. Earnings documents, which include our forward-looking statement disclaimer and non-GAAP reconciliations, are available in the Investor Relations section of our website. These disclosures cover our presentation materials, today's prepared remarks, and Q&A. I will now turn the call over to John Turner.
John Turner: Thank you, Dana Nolan, and good morning, everyone. We appreciate you joining our call today. Earlier this morning, we reported strong quarterly earnings of $548 million, resulting in earnings per share of $0.61. On an adjusted basis, earnings were $561 million or $0.63 per share. We delivered adjusted pretax pre-provision income of $830 million, a 4% increase year over year. And we generated a strong return on tangible common equity of 19%. We are proud of our third quarter performance as we continue to enjoy the benefits of the investments we have made across our businesses and the successful execution of our strategic plans. Reflecting the strong benefits of our footprint, the recently released FDIC deposit data indicates that we generated top quartile deposit growth and above peer median change in market share over the measurement period. And we did this while maintaining the lowest deposit cost amongst our peers. This momentum carried into the third quarter as we grew total average deposits as well as accounts across consumer checking, small business, and wealth management. We also grew average loans modestly during the quarter as corporate client sentiment has continued to improve. Year over year, pipelines are almost doubled, and we are also experiencing nice increases in production. And year to date, loan commitments have increased approximately $2 billion. However, we still face some headwinds from our portfolio shaping efforts in certain areas of higher-risk leverage lending. This type of portfolio shaping is consistent with our long-standing focus on soundness and appropriate risk-adjusted returns. In addition, we saw a meaningful increase in loans refinanced off our balance sheet through the debt capital markets during the quarter. Importantly, with improving macro conditions along with an expected pickup in line utilization, we believe we are well-positioned to generate stronger loan growth as we move into 2026. Our consumers also remain healthy. Debit and credit spend continue to increase versus the prior year, and payment rates on our consumer credit card remain above pre-pandemic levels. Importantly, consumer credit quality remains strong, exceeding our expectations. Asset quality metrics remained relatively stable near historic lows. Shifting to fees, we delivered another strong quarter in terms of non-interest revenue. Wealth management continues to be a good story for us, generating another quarter of record fee income. In Capital Markets, excluding CBA, also reached a record high during the quarter. M&A activity continues to pick up along with commercial swaps, syndications, and debt underwriting. Additionally, treasury management continues to grow at a nice pace year over year. We see continued opportunity to grow clients through both new relationships and within our existing customer base. We continue to make good progress on investments to modernize our core technology platforms. Planning to upgrade our commercial loan system to a new cloud platform in 2026. We will begin running pilots on our new cloud-based deposit system beginning in late 2026 with full conversion anticipated in 2027. Once completed, we expect to be one of the first regional banks in the country on a truly modern core platform. We are also having success in our efforts to recruit and hire quality bankers across our priority markets. And we remain on track with our target banker additions and our branch banker reskilling and reallocation efforts. Wrapping up, we are proud of our third quarter results. The investments we are making to modernize our core systems and add talent in priority markets are progressing well, further enhancing our ability to serve customers' evolving needs and positioning us to capitalize on growth opportunities. Our associates' commitment and strong execution have been instrumental in driving these results. We expect this momentum will continue into 2026 and beyond, creating sustained value for our shareholders. With that, I will hand it over to David Turner to provide some highlights for the quarter.
David Turner: Thank you, John Turner. Let's start with the balance sheet. Average loans grew 1%, while ending declined 1%. Within the Corporate Bank, areas experiencing growth during the quarter include financial services, government and public sectors, commercial durable goods manufacturing, and utilities within C&I, along with a modest increase in CRE. Offsetting this growth, however, is our ongoing portfolio shaping efforts that John Turner mentioned. Year to date, we have exited approximately $900 million in targeted loans and estimate we have another $300 million of these loans to work through over the remainder of the year. While we are also very proud of the record quarter we experienced in our capital markets business, that does come with additional headwinds to loan growth where we saw approximately $700 million in loan balances refinanced into the debt capital markets. Average and ending consumer loans remained relatively stable as growth in credit card home equity was offset by a modest decline in other categories. We now expect full-year 2025 average loans to remain relatively stable versus 2024. Deposits remain strong overall. Consumer deposits were roughly flat quarter over quarter, slightly ahead of typical seasonal trends. Both acquisition and retention have been solid across core and priority markets. Priority markets performed well, with the majority experiencing average balance increases. Commercial deposits also showed strength, with a notable increase in average balances across money market and non-interest-bearing checking. The overall share of non-interest-bearing deposits to total deposits remained within our expected low 30% range. The commercial bank continued a five-quarter trend of growing total client liquidity on and off balance sheet, reflecting strong client retention and acquisition. Favorable business profitability and healthy liquid balance sheets combined with our bankers' efforts have helped us capture available opportunities. As a result, we are increasing our expectations for full-year average deposit balances. We now expect average deposits to be up low single digits versus the prior year. Let's shift to net interest income. Net interest income was relatively stable linked quarter. After adjusting for elevated income in the second quarter, associated with a large credit-related interest recovery and fluctuations in hedge-related income, net interest income grew modestly, benefiting primarily from new fixed-rate asset originations and reinvestments in today's elevated rate environment. Interest-bearing deposit cost increased two basis points in the third quarter due in part to growth in market rate corporate deposits, coupled with a muted quarter for CD maturities as previously discussed. The low absolute level of deposit cost continues to highlight Regions Financial Corporation's competitive funding advantage and its benefit through cycles. The net interest margin declined six basis points. In addition to the nonrecurring items from the second quarter, the margin was negatively impacted by day count, as well as elevated cash levels that were slightly above our long-term target. Looking ahead, we expect the net interest margin to rebound into the mid-360s in the fourth quarter, providing positive momentum into 2026. Growth in net interest income and margin are expected to resume from fixed-rate asset turnover, additional securities repositioning performed late in the third quarter, prudent funding cost management including lower deposit pricing, and modest loan growth. The strength of our balance sheet positioning is evident as expectations shifted to a declining Fed funds environment. We believe net interest income remains well protected from lower short-term interest rates with a neutral position when combining our floating rate product mix, prudent hedging program, and ability to manage deposit costs. To remain relatively neutral to changes in Fed funds, we target a mid-30s interest-bearing deposit beta. We remain confident in our ability to achieve the beta target through the repricing of our market price and index deposits. Additionally, we have the opportunity to further reduce CD rates as maturities escalate in the fourth quarter. Tactics to reduce deposit costs are well underway, and we expect a meaningful decline in the fourth quarter. We now expect full-year 2025 net interest income to grow between 3-4%. Now let's take a look at fee revenue performance during the quarter, which is a really good story for us. Adjusted non-interest income increased 6% linked quarter as we achieved growth in several categories. Service charges increased 6%, driven by increased account openings, seasonally higher activity, and one additional business day in the quarter. Capital markets income excluding CBA increased 22% compared to the prior quarter, representing a new record. The increase was driven by higher M&A advisory activity, commercial swap sales, loan syndications, and debt underwriting activity. With respect to the fourth quarter, we currently expect to be in the $95 million to $105 million range. Wealth Management delivered a third consecutive quarter of record-setting income, driven primarily by elevated sales activity and favorable market conditions. With respect to full-year 2025, we now expect adjusted non-interest income to grow between 4-5% versus 2024. Let's move on to non-interest expense. Adjusted non-interest expense increased 4% compared to the prior quarter. Salaries and benefits increased 2%, reflecting higher than anticipated health insurance-related costs, higher revenue-based incentives, and growth initiative-related hires. Year to date, higher than anticipated health insurance-related costs as well as market value adjustments on employee benefit assets have pressured our full-year expense expectations. We now expect full-year 2025 adjusted non-interest expense to be up approximately 2%, and we expect to generate full-year adjusted positive operating leverage at the lower end of the 150 to 250 basis point range. Regarding asset quality, annualized net charge-offs as a percentage of average loans increased eight basis points to 55 basis points and reflect solid progress made on resolutions within certain previously identified portfolios of interest which were already reserved for. Business services criticized loans improved significantly during the quarter, decreasing almost $1 billion or 20%, while nonperforming loans decreased 2% with the NPL ratio declining one basis point to 79 basis points. As a result of the significant improvement in Business Services criticized loans, and the overall decline in NPLs, as well as the solid progress made on resolutions within certain stress portfolios, the allowance for credit losses decreased $30 million during the quarter. The resulting allowance for credit loss ratio was reduced two basis points to 1.78%, while the allowance as a percentage of NPLs actually increased to 226%. We now expect full-year net charge-offs to be approximately 50 basis points and expect losses to remain elevated in the fourth quarter as we continue to resolve credits in the portfolios of interest. Importantly, we have reserved for the remaining anticipated losses associated with these portfolios. Let's turn to capital and liquidity. We ended the quarter with an estimated common equity Tier 1 ratio of 10.8% while executing $250 million in share repurchases and paying $235 million in common dividends during the quarter. When adjusted to include AOCI, Common Equity Tier 1 increased from 9.3% to an estimated 9.5% quarter over quarter, attributable to strong capital generation and a reduction in long-term interest rates. We expect to manage common equity Tier 1 inclusive of AOCI at this approximate level going forward, which should provide meaningful capital flexibility to meet proposed and evolving regulatory changes while supporting strategic growth objectives and allowing us to continue to increase the dividend and repurchase shares commensurate with earnings. As John Turner indicated, we are pleased with our quarterly performance, particularly given the evolving market dynamics. And we believe we are well-positioned regardless of market conditions. This covers our prepared remarks. We will now move to the Q&A portion of the call.
Operator: Thank you. Our first question comes from the line of Ken Usdin with Autonomous Research. Please proceed with your question.
Ken Usdin: Good morning, John Turner. Morning, everybody. So I just wanted to level set and just make sure we are very clear with everybody that it was the stuff you had set aside, David Turner, that you ended up with, that was stuff you have been talking about for a long, long time, and it looks like underneath that, once those are resolved, just can you just give a good update for how you are seeing, any other portfolios that you are watching obviously, the tone that we are talking about this week across the group? Thanks.
John Turner: Yes. Ken Usdin, this is John Turner. I would say we have identified office and transportation as portfolios of interest for quite some time and the charge-offs predominantly the charge-offs you saw in the third quarter related to office. We expect to resolve some additional credit exposures either at office or transportation in the fourth quarter, which is why we are guiding to continued somewhat elevated charge-offs. But still feel good about long term our guidance of 40 to 50 basis points. Significantly, if you look at just credit quality overall, we had over $900 million in reductions, almost $1 billion in reductions in classified loans during the quarter. Some portion of that was a result of upgrades and in fact we saw more upgrades than downgrades for the first time in a number of quarters. Significantly more upgrades than downgrades, I would say. And importantly, we had significant payoffs in the portfolio during the quarter as well, which resulted in the pay downs. And that improvement was across a variety of categories. It was in office. It was in transportation. Some of that was the result of the resolution of some of the problems that we have. We also saw improvement in technology in that portfolio and in generally in multifamily, where the biggest amount of improvement was seen in the portfolio. So good trends. Nonperforming loans, down modestly. We would expect that trend to continue as we resolve matters in the fourth quarter and potentially in the first. The only other area that we are seeing maybe a little elevated risk is in telecommunications where we have had some exposures related to just the changing dynamics in the television media industry. Again, that we would say is overly significant, but if we are watching another portfolio, that would be likely be it. Feel good about our exposures to non-depository financial institutions. Almost 40% of our exposure is in our REIT portfolio, which is a legacy business something we have been involved in for quite some time. It is a relationship business, generates significant deposits. Capital markets fee income for us. It is very low leverage. And has performed really well. Very good credit quality has demonstrated over a long period of time. The balance of our NDFI business is pretty well distributed. There are no significant concentrations of any kind. Business is managed by bankers with a good deal of experience. And in many cases, also involves our asset-based lending group we call Regions Business Capital, which is trained and routinely monitors customer accounts asset quality, etcetera. So we feel really good about our NDFI exposure. Very limited, not a lot of private not a lot of direct private equity exposure, I would say.
Ken Usdin: Appreciate all that color. So one more point on that loan point you made that there has been some continued, like you said, paydowns in a bunch of the portfolios. So how close are we to getting what you would anticipate to be the bottom just looking at a bunch of the ending period balances and also just noting that C&I was a little bit lower this quarter, probably in part to what you were just speaking to. Thanks. Yes. I think in David Turner's
John Turner: prepared comments, said we would expect another 300 plus or minus million dollars in pay downs related to exit portfolios. The good news is if pipelines are up 100% year over year. They are growing significantly. Production is up a little less than 20%. Year over year. So we feel good about what we are seeing. Unfortunately, line utilization is down 70 plus basis points. So still have a lot of liquidity. That is reflected customers do, and that is reflected by the deposit growth we have seen. In our Corporate Banking business. And until customers use some of that liquidity excess liquidity, probably not going to see a real increase in line utilization, but we are prepared for it. And we continue to grow new relationships to grow existing relationships. And that is, I think, demonstrated in the increase in commitments we are seeing and in pipeline activity. So we are optimistic about 2026 and what we will see based upon the experience we are having today. And Ken Usdin, just to be clear, the $300 million we think will get dealt with this year. So that we start '26 and we are ready to go. And grow.
Ken Usdin: Great. Thank you.
Operator: Our next question comes from the line of Scott Siefers with Piper Sandler. Please proceed with your question.
Scott Siefers: Good morning, John Turner. Good morning. Thanks for taking the question. Just want to follow-up just a little just just so I make sure, I understand kind of what is being reduced. When you make the comments about portfolio shaping, are those did those indeed align with what you would characterize as sort of portfolios of interest on the credit side? In other words, the stuff that you are charging off, is that also the stuff that is where we are, getting those balance reductions or are those, like, mutually exclusive?
John Turner: No, it would be a combination of both. I think saying balance reductions in some categories where we had identified credits as having some weakness, so they were not necessarily in our portfolios of interest. An example of that would be maybe multifamily, where we it was a portfolio we were observing, but we did not feel there was any risk of loss in that portfolio as absorption rates have improved. As projects have stabilized and moved from construction to lease up or lease up stabilization, we have been able to upgrade those credits, and that has had a positive impact on the multifamily portfolio. On the other hand, we did have some charge-offs in apartment and in transportation, which in part led to some of the reductions that we experienced. But the big change was leverage lending portfolio, that $900 million year to date is where that predominantly came from.
Scott Siefers: Okay. Wonderful. Thank you for that clarification. And I guess regardless, it sounds like we are getting to a point where you enter next year kind of free and clear anyway. So but, nonetheless, appreciate that. And then John Turner, just a broader strategic question. You have been pretty clear that you all would rather focus internally than engage in M&A. Just curious if your thoughts have changed now that you have a smaller competitor in your footprint getting much larger and then one of your category four competitors making it way into category three with a deal of its own. Any change now that the ground is shifting a little in your thinking at all?
John Turner: No. Our position has not changed. I would say we have great confidence in our strategic plan. We have been focused on executing it. Over the last seven, eight years, and it has produced awfully good results for our shareholders. We have, we think, really great bankers. We are in really good markets. Our opportunity is to continue to grow from the present that we have. We are certainly aware of all that is going on in the market marketplace. We continue to follow the activity and we challenge ourselves from time to time about whether or not we ought to be more interested in depository M&A. But today, we continue to believe that it is disruptive, that it takes your focus off of executing your business on a day-to-day basis. And so would say that we are completely focused on the execution of our strategic plan. And we will continue to maintain that position. Recognize that always going to do what is in the best interest of our business and our for our shareholders. Today, we think that is executing our plan.
Scott Siefers: Understood. Okay, perfect. Thank you all very much.
Operator: Our next question comes from the line of Steven Alexopoulos with TD Cowen. Please proceed with your question.
Steven Alexopoulos: Hey, good morning, John Turner. Good morning. Morning. I was start on the margin first. So you are guiding to a mid-three sixties. In the fourth quarter to give you one of the highest margins in the industry. I am looking at Slide six which says you are mostly neutral to rate. So does that mean that if the Fed is cutting rates, can hold them steady from that? But continue to see NIM expansion from this mid-three 60 level given the success of turnover you are calling out on the same slide?
David Turner: Yes. So this is David Turner. So right now, front book, back book benefit is about 125 basis points if you average out loans and securities. That is down from the second quarter because primarily the ten year coming down. But we still see some benefit there. Our beauty of our hedging portfolio is to protect us. As rates come down. So we still have negative carry in our derivative portfolio, our hedging portfolio. It gets less negative as rates come down. So that is why we have confidence that we have been able to have a pretty resilient net interest margin regardless of what rate environment that we have. We clearly had a higher margin last quarter. We have tried to provide and remind everybody what we said on the call last time had some one timers that boosted that about three to four basis points that did not repeat. So we put on Page five to try to help walk that forward. And but yes, we have pretty good confidence that we are going to grow 1% to 2% in net interest income. And if you look at of where we think your earning assets will be, that should produce a margin and getting close to the mid-360s.
Steven Alexopoulos: Okay. That is helpful. And then on the positive operating leverage, I know you are saying it is going be the lower end of the 150 to $2.50 range. And you are taking the adjusted expense outlook up to the upper end of the 1% to 2% range, The question is, should we assume that the increase in the expense outlook is sticky here, just given inflationary impacts? And as we look forward, there is more of a element to expenses which is going to restrict your ability to drive more material positive operating leverage.
David Turner: Well, if you look at, so we do not adjust our a age asset number. That was about $12 million. We tried to show you there is $12 million in NIR and there is an $12 million in NIE. They offset. But when you are looking at percentage change for positive operating leverage, which is the percentage change in revenue less percentage change in expense, it affects you there. We cannot undo what is happened. And so all it is is a recognition of where we are through nine months. We have really good expense controls. We feel good about where our expenses will be in the fourth quarter. And we are giving you the guide for the fourth quarter assuming our HR asset thing is zero. We because we do not know if what is going to happen with the market could go up or down. So, in some regards, we would like to adjust for that, but that is frowned upon. So what we do is we show you both sides so that you could do your own math. And that is all this is. There is no runaway inflation. There is no cost that we cannot deal with appropriately. And listen, we are going to have approximately 2% increase in cost for the year. Pretty good. And nice operating leverage. So we feel good about our expectations for the fourth quarter.
Steven Alexopoulos: Okey dokey. Thanks for taking my questions. Okay.
Operator: Our next question comes from the line of John Pancari with Evercore. Please proceed with your question.
John Pancari: Hey, John Turner. Good morning.
John Turner: Good morning.
John Pancari: So back to the charge-offs and the resolutions that you are working through, just for little bit more color there, is this more a function of a more proactive posture by Regions Financial Corporation to address some of these lingering and, you know, previously identified issues or is it more a function of borrower progression that they are now at the point where you can quantify the loss content and then address them.
John Turner: Yeah. Typically, John Pancari, it is the latter. Mean, you just work on something until you cannot work on it anymore. Or until the borrower does not have any capacity to continue to support the loan or the borrower makes some decision that potentially is adverse to potential collection of the credit. Then we are in a position to resolve it. Each case is different. And timing has a lot to do with recognition of loss. In this case, we just had a number of things come together in the quarter.
John Pancari: Okay. Got it. Thanks, John Turner. And then secondly, also on related to this, I guess, back to the portfolio shaping efforts around the exit portfolios. If I could maybe ask Scott Siefers's question another way, How much of the rationale in these portfolio shaping actions is driven by the rate environment and the backdrop versus the credit risk dynamic?
John Turner: I would say it is driven both by our credit risk appetite and returns. We have going back to 2015, really focused on capital allocation. Think that has been one of the hallmarks of our success and the execution of our plan. And so we are aligning our credit risk appetite with expected returns in portfolios. And we will occasionally originate a credit believing that we have the opportunity to expand the relationship. As we look back on that, we conclude after two or three years that we were wrong, there was not a path to expand a relationship. And so we choose to exit. There are also situations where we just look at the overall profile of a portfolio or relationship and decide that the credit risk is more than we want to take. And so much of what we have been executing is part of a leverage portfolio that was primarily based on enterprise value lending and assumptions, and we have just do not believe that is a place where we want to be at this point. So we have chosen to exit a number of those relationships.
John Pancari: Got it. And if I could just ask one more related to that. What is the risk that or the potential that you flagged the remaining $300 million that you are working through, what is the potential that it could continue to increase even after that and be more of a growth headwind? Or anything as you look at?
John Turner: That is what we have identified. And we have an ongoing rigor around looking at relationships and portfolios. So today, that is our best advice and guidance. We do not anticipate any significant additional reductions, but I would say that one of the things that we feel really good about is again, the rigor and the process around to think about capital allocation and returns on that capital. So six to twelve months from now, we might identify something else that we decide we want to trade out of. All the while, we are improving returns on capital that our shareholders are giving us to deploy into our business. So again, we think our if you look at our track record, served us awfully well. And John Pancari, I will add. Sometimes a customer business model will change after we have provided credit to them, and that business model change is not consistent with our expectations and our under our original underwriting and return expectations change we will exit as a result of that. And so we have constantly been portfolio shaping. This particular year, it was just a little bit larger than it has been. And so to John's point, you will see it in 2026, but today, we do not anticipate it being at the level that you have seen in 2025.
John Pancari: Got it. That makes sense. Alright, David Turner. Thank you. Thanks, John Turner.
David Turner: Yes. Thank you.
Operator: Our next question comes from the line of Dave Rochester with Cantor Fitzgerald. Please proceed with your question.
Dave Rochester: Hey, good morning guys. On loan growth, I know you have had some investors point out that loan growth has been kind of hard to come by Regions Financial Corporation over the last year or two. But you lay out a really solid case here for some acceleration next year. With all the assets you mentioned, plus you have the banker expansion and the reskilling going on. And you are far along that plan there. So it seems like you might be pretty well positioned to grow maybe even faster than GDP in group next year once you kick out that $300 million. Is that the thinking at this point? Is that within the realm of possibility?
John Turner: Yes. I think we have consistently said our expectations would be to grow our loan portfolio consistent with GDP in our markets plus a little bit. And we have real GDP right now, low. Around 2% That is baked in and we will give you guidance in terms of what our expectations is for low for what our expectation will be for loan growth later. But that is your you are framing that up kind of consistent with what we have been saying.
Dave Rochester: Sounds good. Maybe just switching to credit real quick. Your comments earlier on the telecom book, How big is that exposure that you are looking at within that segment right now that you are maybe a little bit more concerned about?
John Turner: Total is about $700 million. So not relatively speaking, not significant.
Dave Rochester: Great. And then one last one on credit. It is a pretty meaningful move lower. Obviously, to see the reduction in criticized loans. You guys have done a lot of work on that front on derisking in the portfolio. I know you talked about NPAs continuing decline. Are you looking at maybe more steeper declines over the next few quarters to given everything you are seeing and all the work you have done?
John Turner: I think you can assume that, although reluctant to give too much guidance there because, again, the timing of when we resolve credits has a lot to do with ultimately what the level of NPAs are. Yes. But you can assume if criticized loans came down by almost $1 billion the trajectory is positive. Yes. As a result, our 1.78% loan allowance ratio should over time as we work through the charge-offs, which we have reserves for, you would see our reserve trickle down closer to that 2019 kind of day one CECL of 163. I think we show that on one of our pages in our deck. I think it is Page 40, something like that. Yes.
Dave Rochester: Sounds good. Thank you very much.
John Turner: Thank you.
Operator: Our next question comes from the line of Gerard Cassidy with RBC. Please proceed with your question.
Gerard Cassidy: Guys. You guys do not have a dog in this fight. So I am asking this more from a theoretical point of view. These issues we are seeing with some of your peers in the regional bank space on fraud. Can you share with us from your experience when fraud happens, is it driven more because the people that are running the organizations are crooks or is it more that the underlying fundamentals really deteriorate and the first action they may take is to kind cover it up with fraud, which eventually leads to a bad outcome. Do you guys have a sense from just your experience when you go back a number of decades how this kind of develops?
John Turner: Gerard Cassidy, first of all, I certainly do not want to speak for and I know you did not ask this question, but for any other institutions. I will just speak about my experience. Over forty now, I think, three years in the banking industry, most of that is a commercial banker. I think it is both. Occasionally, you will get in business with someone that is a crook from the get-go. In other cases, the business deteriorates. The owner or the sponsor does not know what else to do. They think just like anybody that embezzles typically, they think they are going to pay it back. And I think it is true of people that get involved with fraud and double pledging assets and those kinds of things they think they can resolve the matter over time and ultimately, they cannot. So my experience has been both. That is why we focus so intensely on client selectivity. Knowing who we are banking and doing business almost exclusively in our footprint. Because that is the best way to know who you are banking to observe on a regular basis how your customer is doing and to ensure you are on top of what is going on with the exposures? Very good. Very helpful. Thank you. And then coming back to your earlier comments, John Turner, about your deposits and I think deposit market share from the FDIC data. There has always been a concern that the big trillionaire banks are going to take advantage of deposits from the regional banks. Obviously, you are not seeing that. Can you share with us the strategies you are using that you have seen your success in deposit growth and maybe Eli, some of the fears that some investors have that regional banks are not going to be that competitive against these trillionaire banks? Yes. Thank you for the question. We have been in a lot of the markets that we are in for one hundred and fifty million one hundred and sixty, one hundred and seventy plus years. We are the hometown bank in so many places. We have a well-known brand, well-known bankers. Believe in our people and think they do a great job. We continue to make investments in technology to ensure that we are providing customers with access to banking any way they want to bank. We continue to focus on how we use the data we have and the technology that we offer to provide personalized unique ideas and solutions to help customers. I think all those things, Gerard Cassidy, are really, really important. Combine that with our focus on customer service, and the great job our bankers do building brand loyalty. And we are continuing to grow consumer checking accounts across our footprint. And that is a challenging aspect of what we do. We are a relationship bank, and we live that. And I think it as a result, we feel good about our ability to continue to compete with the larger banks. There are lots of smaller banks who are coming into our markets as well. And then non-banks, I think we are in a good position. We are going to continue to leverage our brand, leverage our footprint, and we believe we can continue to be very competitive and grow.
David Turner: Sure. I will add one thing. I get a lot of questions about branches and we clearly have more branches on a relative basis than almost anybody. And the reason for that is we are in a lot of towns inside of our four states that we operate in. So when we see people moving into the Southeast, for instance, it depends on where they are going. They are coming to the larger major metros. And so we will compete for deposits based on service, as John Turner just mentioned. But we are not seeing that type of competition move in in the smaller towns. It is just cost prohibitive. I do not think people would do that. We have been in these little markets for a long, long time. When you are in these small markets, you have to have a physical point of presence, which is why we have as many branches that we do. So, we can continue to compete. Two-thirds of our deposits are consumer non-interest-bearing deposits that are based on how we serve our customers. And if we continue to do a good job there, we get a high promoter score and a lot of loyalty. From that customer base.
Gerard Cassidy: Very good. Thank you, gentlemen.
John Turner: Thank you.
Operator: Our next question comes from the line of Ebrahim Poonawala with Bank of America. Please proceed with your question.
Ebrahim Poonawala: Good morning, David Turner. Hey, morning, David Turner. I just wanted to follow-up. When we think about just the expense growth this year, 2% means you have best in class, ROE. Just remind us, you started this, I think, a year ago. In terms of just the investment spend. And to what level do you think you could see, like, investment spend pick up be it branches? You obviously have a big technology conversion coming up. And kind of how are you thinking about growth versus the ROE math whether better growth for a slightly lower ROE would be okay. Just would love your thought process there.
David Turner: Well, to your point, we continue to make investments in our technology initiative. That is kind of in our run rate. We do not expect that to change materially. Year on year. We have made investments in bankers, and we will continue to do so in particular in those eight priority markets that we have listed. It is important for us it is a great question because it is a good challenge in terms of how much money can we invest today without having too much negative impact on our return. The return on tangible common equity is critically important to us. John Turner mentioned it 2015. We became fixated on capital allocation because we think having an appropriate return correlates real tightly to your share price, and that is what shareholders want you to do. That being said, we want to grow, too. So we are trying to be balanced in terms of how much investment we make while keeping the returns relatively high. And so we have begun to invest in our network and marketing and things of that nature to change a little bit of the growth trajectory. You should see us grow things like small business relationships, which will come with deposits. Not really as much in loans, but deposits. Which is the fuel for how we really make money going forward. So as loan growth picks up, we want the good core low-cost funding to be right there with it. And that is why we started making the like you said, about a year ago, and we will continue that into 2026.
Ebrahim Poonawala: Got it. Thanks for that. And then just one on capital and you have the slide 11 where you talk about just the puzzle endgame. As you look forward on changes on the regulatory and supervisory front, anything in particular that would help you in terms of how you are running the business or the balance sheet, and could that cause any changes even at the margin, on the capital liquidity growth?
David Turner: Well, you know, things like the long-term debt thing, we hope is gone. That is to prevent us from having to issue more expensive long-term debt. So that is positive. The Basel III, where it was going until right at the very end when it kinda got pushed off, was going in a way that was reasonably helpful to us. RWAs were going to come down a little bit. As the gold plating was removed. And that being said, the AOCI component there is a chance it does not cover a category four like us. We have given you the numbers assuming it is in there, but it may not be. We also have to consider rating agencies. That is important too. And they are trying to figure it out as well. We have seen other larger institutions talk about capital targets that are real close to where we are, and we are trying to figure out how what the new regime is going to be. We think we are in a good spot and we have a lot of optionality with capital because we are already there at 9.5% with AOCI. And could there be some incremental benefit could be, but we are not counting on that. If it works to our favor, then we will take advantage of it as we see it.
Ebrahim Poonawala: Helpful.
Operator: Our next question comes from the line of Chris McGratty with KBW. Please proceed with your question.
Chris McGratty: Good morning, David Turner. Good morning. Going back to the deposit betas, I think it was the mid-30s comment. Is it feels conservative to me, I guess, maybe in your view there. Is it an element of conservatism or is it an element a bit of, like, protecting your market, some of the larger banks coming in?
David Turner: What we are trying to do is tell you what our guidance is based on. And our guidance is based on that 35% beta. We clearly were higher than that going up, and we would expect over time that we would get the 43% beta that we had back. But that will take some time, and we do not want to commit to that because we do not want it to be time-based. We feel fairly confident we can have a 35% beta. And with that, has a nice, continued growth and a resulting margin. As a result of it. So we have a chance to outperform. On that front. We are a little we are at 32%, 33 right now. Have a big CD maturity quarter coming up in the fourth quarter, which gives us confidence on that 1% to 2% NII growth and margin growth. But, and we expect that to result in a cumulative beta pushing on 35%. At that time. If we get a little bit more, then everybody will be happier.
Chris McGratty: Understood. Perfect. And my follow-up I think you were pretty clear about your capital priorities. If and when the situation changes and inorganic growth becomes more likely, is that a situation where you think you would have to communicate that change to the market before? Or do you kind of think what you said publicly is sufficient? Thanks.
John Turner: Well, I think we always want to keep our options open. But and as I said earlier, M&A is not part of our strategic plan today. We feel really confident in our strategic plan. We have to run the business for the benefit of the business and the shareholders. Things change. I do not know how we necessarily signal that anymore. Than providing the perspective that I just have.
Chris McGratty: Okay. Thank you.
Operator: Our next question comes from the line of Betsy Graseck with Morgan Stanley. Please proceed with your question.
Betsy Graseck: Good morning, David Turner. Morning, Betsy Graseck. Hey. So I had two quick questions. One is on the CD roles that are coming in the coming quarter. Can you give us a sense as to the NIM impact there or basis point impact in deposits?
David Turner: Well, it is $5.5 billion and really just depends on what happens with rates there. And that is a big driver of our improvement from $359 million to the mid-360s. We also have some back book opportunities to change as we go through time. So, we are trying to shortcut the math for you. And tell you that is the driver probably the single biggest well, that and the front book, back book. Repricing. Those are the two big drivers of getting to the mid-360s.
Betsy Graseck: Alright. Thanks. And then separately, how should we think about the NIM NII outlook in an environment where the Fed is cutting slowly 25 bps a meeting, versus more rapidly, call it 50 bps a meeting for a little bit.
David Turner: Well, when you go rapidly, it takes time to reprice things so that that will hurt your NIM in the short term and you will catch up later. If it goes slow enough where you can reprice appropriately, then that helps you maintain a little more stable net interest margin. And that is the beauty of what we have done, because we can change our pricing. We have our hedge portfolio that is protecting us. So as rates continue to come down, that negative carry that we have today will dissipate. Or decline helping us support net interest income and the resulting margin. And that is why we have a fairly stable margin at just about in any interest rate environment especially if the Fed moves at a moderated pace. It is the quick pace up and down that poses risks to a given quarter's excuse me, a given quarter's net interest income and margin. Because you just cannot go reprice time deposits immediately. It takes time to work through it.
Betsy Graseck: Alright. Great. Thank you.
Operator: Your final question comes from the line of Christopher Spahr with Wells Fargo. Please proceed with your question.
Christopher Spahr: Good morning, David Turner. Thanks. Hi. Good morning. Thanks for taking the call. So I just want to think about the salary and comp outlook as we kind of exit the fourth quarter. So if you look at average head count for the year, it is pretty much flat. It is kind of creeped up a little bit. On the end of period basis, but average is about flat. And yet, comped for the full year or year to date is up 4%. So, you know, how do you kind of take that into account for as we kind of exit fourth quarter, and how does that kind of relate to some of your investments? And maybe some of the tech benefits that you expect over time with all the investments you have already made? Thank you.
David Turner: Yeah. So we do not see a huge change in head count. We are making investments in client-facing people. In all of our businesses. We are looking to have savings on headcount through natural attrition, by leveraging technology and process improvement. And we have been reasonably effective at that. We have an opportunity, I think, to move that up quite a bit when you talk about artificial intelligence and things of that nature, I think, can be helpful. Are in the formative stage of that. So how much we can change, we are not going to go there just yet. But we do not see any big change in salaries and benefits. We generally start with about a 2.5% to 3% baked in salary increase across kind of across the board. Some are higher, some are lower. That is generally how it has been working, and we do not see that changing. For 2026 at this point. Do you want to make sure that you know that, that HR asset valuation, which is offset in NIR, is in that salary and benefit line item. So when you are calculating your averages, need to take that out because that can skew the numbers a little bit too.
Christopher Spahr: Thank you.
John Turner: Okay. Well, thank you all. Appreciate your interest in our company, and hope you have a good weekend.
Operator: This concludes today's teleconference. You may disconnect your lines at this time.